Operator: Good day, ladies and gentlemen, and welcome to the SS&C Technologies First Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder, this conference may be recorded. I would now like to turn the conference over to your host, Ms. Justine Stone, Investor Relations for SS&C Technologies. Ma'am, you may begin.
Justine Stone: Hi, everyone. Thank you for joining us for our Q1 2017 earnings call. I'm Justine Stone, Investor Relations for SS&C. With me today is Bill Stone, Chairman and Chief Executive Officer; Norm Boulanger, President and Chief Operating Officer; Rahul Kanwar, Senior Vice President and Head of SS&C GlobalOp; and Patrick Pedonti, Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K, which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, April 27, 2017. While the company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
Bill Stone: Thanks, Justine, and thanks everyone for being with us on our first quarter 2017 call. We had a strong start to 2017. We grew adjusted revenue 19.4% to over $409 million, and we grew adjusted diluted earnings per share 18.9% to $0.44 a share in Q1. Impressively we also grew our operating cash flow over 200%, primarily to a high cash flow on our earnings. Momentum from the back half of '16 continued to build this quarter. We are seeing strength in our core products as well as a resurgence in the alternative space. Our hedge fund indices that we report each month indicate the market is strengthening and we believe our robust pipeline supports this. So we are happy to add Bhagesh Malde to SS&C GlobalOp, who came on with us in March and he is running our Real Assets division. This will include fund accounting and outsourcing services for real estate, infrastructure and hard assets. We believe we can leverage Bhagesh's expertise and comprehensive offering to provide a dynamic and differentiated service. We expect to see results by the end of the year. As I'm sure you've seen, we are hosting an Analyst Day on May 2 at the NASDAQ MarketSite in New York City. This year's presentation in panel format will showcase our expertise with presentations and panels on our software businesses, institutional outsourcing, SS&C GlobeOp's alternatives business, technology and our sales and marketing organization. Please reach out to Justine, if you have any questions or would like to RSVP. And with that, I'll turn it over to Norm.
Norm Boulanger: Thanks Bill. As Bill mentioned, we got off to a strong start in 2017. Continue to see interest on our loan and credit solutions, which include Precision LM, loan services and Primatics Evolv platform. We are monitoring our recent acquisitions closely and we are pleased with the margin improvement in Citi, Wells, and Conifer Fund Admin. The RIA market presents a big opportunity for SS&C going forward. Earlier this month we announced that our Black Diamond wealth platform has reached over 1,000 firms using the technology and outsourced service. More than 240 of those clients signed in 2016 alone. Black Diamond now manages the data of more than one million accounts. SS&C is executing on an aggressive roadmap for Black Diamond in 2017, mainly focusing on enhancing and mobilizing conversations with clients and providing features and tool that help advisors scale and get time [ph]. This quarter we announced the release of Vision FI, the next generation product advance and evolving portal platform, provides SS&C customers a comprehensive end-to-end solution for designing, producing and distributing both online and printed client communications. More than 300 customers use SS&C solutions for client communications to cover every segment in the market ranging from the peaks of $100 million in assets to the very largest firms in the investment. We believe Vision FI supports investment managers' expand the need for client communication tool that offers flexibility, customization and differentiation. Now I'd like to review some key deals from Q1. A Northeast based fixed income asset manager worth over $60 billion in insurance assets chose to extend their CAMRA license towards the rest of the insurance companies under the corporate umbrella. Atlanta-based mortgage banking company with core businesses in the origination and service and the commercial mortgage loans, licensed Precision LM for their loan and servicing operations. Existing client who acquired a specialty asset manager is upgrading from Black Diamond to GWP for expanding requirements of managing several daily liquidity funds. $21 billion asset manager chose SS&C's Sylvan [ph] and Recon solutions, providing a comprehensive solution including hosting and outsourced reconciliations. Existing client, a $6 billion AUM broker chose Advent outsourcing solution involving for the client portal. A $42 billion AUM current Geneva client purchased SS&C Recon for daily position transaction in cash reconciliations. A $1.4 billion asset manager chose to upgrade from Axys to APX after a competitive RF bid [ph]. An existing broker dealer client chose to license SS&C GlobalOp platform solution. A $2.2 billion in AUM asset manager chose Black Diamond for their portfolio management and reporting process because of our focus on partnerships. And last, a national bank with total assets exceeding $65 billion, signed a multimillion dollar several-year deals to expand its use of Primatics Evolv to improve the bank's entire loan asset portfolio. I'll now turn it over to Rahul to discuss the alternatives.
Rahul Kanwar: Thanks, Norm. SS&C GlobeOp grew 48.5% in revenue for the quarter ended March 31, 2017, compared to March 31, 2016. We continue to see a strong pipeline in private equity, hedge, hybrid and middle office opportunities. As Bill mentioned, Bhagesh Malde joined SS&C March to run our newly formed Real Assets division and lead our servicing of these important asset classes. Real Assets consisting of infrastructure, real estate, oil and gas, agricultural land and other similar areas continued to attract attention from institutional investors and advisors. We are seeing significant opportunity to help these firms streamline their operations and take advantage of our technology and experts. Customers include the investment and operating firms, as well as the investors who need to consolidate and report on their portfolios across multiple asset classes. We are confident, Bhagesh and his team, will bring much-needed value to this space. Now I'd like to go over key deals for Q1. A $10 billion-plus hedge fund and current Geneva customer chose to outsource their fund administration with SS&C GlobeOp. A $7 billion real estate firm chose SS&C GlobeOp services citing our capability and flexibility. An existing client chose SS&C GlobeOp for their new debt and credit fund. We won with our overall expertise in private credit, as well as our investor services in wire processing technology. An existing fund administration client chose to extend their relationship with SS&C to their managed account platform across commodities, long/short equity and global macro strategies. A Hong Kong-based investment management company chose SS&C GlobeOp Fund Administration Services. Another Hong Kong-based firm, an existing client, launched new debt loan funds with SS&C GlobeOp as their administrator. A Luxembourg fund chose to outsource their middle office with SS&C GlobeOp. We were chosen for the breadth of valuation services and the functionality and depth of our flat old offering. I will now turn it over to Patrick.
Patrick Pedonti: Thanks Rahul. The results for the first quarter of 2017 are: GAAP revenue of $407.7 million; GAAP net income of $48.1 million; and GAAP EPS of $0.23. On an adjusted basis, adjusted revenue was $409.5 million, and that excluded the adjustment for acquired deferred revenue from the Advent acquisition. Overall we had a strong quarter. Asset revenue was up 19.4%. Adjusted operating income was up 15% and adjusted EPS was up 18.9% over 2016. The adjusted revenue increase was $66.4 million or 19.4%. The acquisitions of Citi fund admin, Wells' funds admin service business, Salentica and Conifer contributed $58 million. Foreign exchange had a negative impact of $0.9 million or 0.3% in the quarter, mostly due to the weakness in the British pound. In adjusting the prior year for only the acquired Citi fund administration revenue and also adjusting for the lost Advent revenue as a result of the acquisitions we did last year, organic growth on a constant currency basis was 3.1%. Adjusted operating income was $155.4 million, an increase of $20.2 million, or 15%, for the first quarter of 2016. Operating margins decreased to 38% from $39.4 million in Q1 '16. The operating margins were mainly impacted by the Citi, Wells and Conifer acquisitions, which had a combined margin of 23.3% in the quarter. Adjusted EBITDA was $161.7 million, or 39.5% of adjusted revenue, an increase of 14.2% over 2016. In the quarter, we repriced our credit facility and reduced our interest rate spread on both the Term B and the Term A facilities by 75 bps. Net interest expense for the quarter was $29 million and includes $2.7 million of non-cash amortized financing NOID cost. And we expect the average interest rate going forward assuming current LIBOR rates and including the notes to be approximately 3.9%. And we reported a GAAP tax provision of $10.2 million or 7.4% of pre-tax income. Also in the first quarter, we adopted the new accounting standard for stock comp, ASU 2016-09. This standard eliminated the stock buyback from excess tax benefit and options when calculating diluted shares and move the actual tax benefit from an entry to equity to pay credit to tax provision. This accounting standard change resulted in our diluted shares increasing by $1.6 million in the quarter, and as an offset, we reduced our income tax rate on an adjusted basis to 28%. The adjusted net income was $92.9 million and adjusted EPS was $0.44. The adjusted net income excludes $52.4 million of amortization of intangible assets; $10.9 million of stock-based compensation; $2.7 million of non-cash debt issuance cost. And we took a $2.3 million loss on extinguishment of a debt when we repriced the debt. In addition, we had $1.8 million of adjustment on the deferred revenue and approximately $0.7 million of other expense items. And as I said, we use an effective tax rate of 28% for the quarter. For cash and cash flow as of March 31, we had $108.8 million in cash and $2,499 million of gross debt or net debt position of approximately $2,391 million. Operating cash flow for the three months was $56.5 million, a $37.9 million or 203% increase from 2016. Cash flow in the quarter was mainly driven by improved cash earnings in the quarter. Also in the quarter, we paid down $60.2 million of debt, and now that total was approximately $647 million since we acquired Advent. And that includes that we paid $160 million in cash for the acquisitions of Salentica, the Wells fund admin business and Conifer. In the quarter, we paid $40.7 million of interest compared to $40.8 million of last year and that includes a semi-annual interest payment on the notes. We paid $10.4 million in cash taxes compared to $5.1 million in 2016. Our accounts receivable DSO was 54.4 days compared to 52.7 days as of December 2016. While we made some progress on the DSO for the acquisitions and they went from 68 days as of December 2016 to 64 days as of March. We used $9.3 million of capital expenditures and capitalized software mostly for IT and facilities expansion. And we issued our quarterly dividend for $12.7 million in the quarter. We ended the quarter with a leverage ratio of 3.7x, that's down from 3.9x as of December and that's based on $639 million of LTM consolidated EBITDA. For outlook for Q2, our current expectation for the second quarter is: adjusted revenue in the range of $408 million to $416 million; adjusted net income of $93.7 million to $98 million; and diluted shares in the range of $210 million to $210.4 million. Our current expectation for the full-year of '17 is adjusted revenue in the range of $1,664 million to $1,686 million; adjusted net income of $399 million to $412 million; and diluted shares for the full-year approximately $210.2 million to $211 million. We expect operating cash flow to be about $485 million to $500 million for the full-year and capital expenditures in the range of 2.8% to 3.2% of revenue. And as I said, we expect the tax rate to be about 28% for the full-year. I'll turn it back over to Bill for final comments.
Bill Stone: Thanks Patrick. As all of you can see, our management team is pretty excited about our prospects. We have also have many number of potential assets we could acquire over the next few quarters. Prices are firm but some assets are certainly within our reach. Private equity appears to be our biggest competitor, but as many of you know, we are much more likely to realize more significant synergies than the private equity firms. We will realize these synergies in a much more rapid fashion as well. Again, thank you for joining our call. And at this point, Valerie, I'd like to open it up for questions.
Operator: Thank you. [Operator Instructions]. One moment please. Our first question comes from Alex Kramm of UBS. Your line is open.
Alex Kramm: Hey, good evening, everyone. First off, let's maybe just talk about revenues and organic growth here for a second. It seems like you came in above your high-end of the range but I think you were the low end for organic growth of what you had guided last quarter, so just curious where the disconnect was. If some of that revenue from the acquisitions from Citi and so was sticking around long, whether you thought it was rolling off, or is there anything else going on that you want to call out why organic growth was lower but you actually beat guidance overall? Thanks.
Bill Stone: Yes, I think I'll take that. I think we feel pretty strong about our quarter. We do have our acquisitions being - particularly Citi has had stronger revenue and that doesn't include the stuff that is running off. And so you have primarily Citi in the first quarter as being non-organic. And then as far as organic growth is concerned, we had a number of contracts that we thought were going to be professional licenses which would have been larger and drop right down to the bottom line and probably kicked up organic growth a bit but those got switched to term licenses. And actually on an economic basis, it's better for us but for an understanding of our analysts it's not quite as good.
Alex Kramm: Fair enough. Thanks. And then just maybe secondly, just on the margin side. I would say it came a little bit softer than we expected and you called out the acquisition margin, I think, in the 23% range. I think that actually declined quarter-over-quarter. So maybe just flush it out a little bit more as well. Has some of the costs taken a little bit longer to come out? Is it some other costs in the base business? Just why maybe a little bit softer than where expectations were? Thanks.
Bill Stone: Yes, Patrick, you could comment after a second. But I would just like to say, remember, we bought Wells and we bought Conifer in December of 2016, right. So the first time you're going to get them into our full quarter is the first quarter of 2017. So that $18 million or $19 million in revenue is not at our corporate rates of all about 40 to 42. It's more at 15 to 20. And so I think that would explain the softness in the overall EBITDA margins and operating margins but it's not something that we didn't expect. I don't know if you have anything else, Patrick?
Patrick Pedonti: No, I think that's right, Bill. That's what I was going to say, that the main impact from Q4 of last year to Q1 was that now we have Wells and Conifer and we've only owned them for three months and haven't really made a significant impact on their cost structure. We did make a little bit of - we did see some improvement from where they were running as stand-alone companies last year but the main reason is Conifer and Wells.
Alex Kramm: All right, great. And then maybe one last one real quick. Can you just talk about alternatives organic growth and how the growth has changed or maybe what you saw last quarter or last year in terms of hedge funds versus other businesses? And that's it for me then. Thanks.
Bill Stone: Well, the alternatives organic growth in Q1 was approximately 8.2%.
Patrick Pedonti: So you think - couple of things just to comment on that. In that 8.2% are some one-time things that we don't expect to recur, but as Bill pointed out, we did build up a lot of momentum towards the end of last year in terms of pipeline and deals we signed and we were able to complete some projects. So there is probably 2 points or so of extra growth in there but we think that the recurring growth rate about 6% is better than we've seen in the last few quarters. Our mix continues to be pretty broadly spread. I think it's been a pleasant to see the hedge funds come back some and we continue to see good growth in our private equity, hybrid and middle office and regulatory businesses.
Alex Kramm: Excellent. Thanks a lot.
Operator: Thank you. Our next question comes from John DiFucci. Your line is open.
Unidentified Analyst: Hi guys. This is AJ Lubich [ph] on for John. Congrats on a nice quarter. But I did notice that the cash flow I think was a bit light relative to expectations. You talked a little bit about it but if you could just give a little bit more detail and where there some one-time items that were built into that, and you've actually raised the full-year cash flow guidance at the midpoint, so just curios how you have conviction that you'll be able to reach that for the full-year?
Patrick Pedonti: I'm not sure. Our view is that Q1 was better than we expected. You got to remember in the first quarter it is when we pay our annual bonuses. So it's typically the weakest cash flow quarter of the year. But when we gave guidance last quarter, we probably thought that operating cash flow for Q1 would be around $40 million to $45 million and we did better than that. So we think we are on target to hit somewhere between $485 million and $500 million operating cash flow for the year.
Unidentified Analyst: Okay, that's helpful. Thanks. And then maybe one for Bill. Last quarter, you talked about - as you looked at acquisition candidates, that a lot of assets were sort of extended in valuations. You also talked about if you weren't able to find very attractive acquisition candidates, you might consider returning capital to shareholder. Just to really get your refreshed thoughts on current valuations as you look at potential M&A and the thought process on the mix of potential M&A versus returning capital?
Bill Stone: Yes, I think that as Patrick reported a little earlier that our leverage ratio is 3.7, so we have some capacity to do some acquisitions. If we could find the right assets and just in that reasonable price, then as always, we are in various discussions with various entities. And so that is one of the highest priorities for our free cash flow. And then once we get - maybe if we can't find them and we pay down debt and increase our EBITDA when we start moving towards 3x leverage, then maybe we'll increase the dividend or buyback some stock or look at other ways in which to return capital to shareholders. We're very comfortable 2.5x to 3.5x leverage and that doesn't mean we want to keep paying down if we don't think that we don't want to carry any debt and we just have more firepower when we find larger acquisitions. But we like the position we are in now. We are one of the only strategic buyers in a number of areas that we are in, and we have both the financials power to do it but we also have the relationships with the major financing banks to be able to move very quickly and get a lot of support from them based on our track record.
Unidentified Analyst: Great, thank you. That's very helpful.
Operator: Thank you. Our next question comes from Chris Donat of Sandler O'Neill. Your line is open.
Chris Donat: Thanks for taking my questions. Bill, just a follow-up on the last one with the amendment you just did to your debt. Did that in any way change your view on potential leverage caps or how the fixed income community feels about you taking on more leverage?
Bill Stone: I don't think so. I think that we've basically did that in about 48 hours I think, Chris. So I don't think that we have anything but a really strong following when we reprice that. And as Patrick said, our combined interest rate as of today including our 5.875% notes, it's 3.9%. We can pay handsome prices for assets if we could borrow money at 3.9% and we could make a lot of money for equity shareholders.
Chris Donat: Okay and then just…
Patrick Pedonti: The other thing, Chris - the other thing too, I think, is when we reprice the term facility, basically what happens is people can roll into a new facility. And I think it shows the confidence of the debt holders. I think we got about 90% of them that rolled into the new facility.
Chris Donat: Okay. And then, Patrick, just one housekeeping one on the guidance for 2017. Relative to last quarter, the change in the tax rate and the share count, that's just all the function of the new accounting standard, right?
Patrick Pedonti: All a function of the new accounting standard. It's pretty much - it's going to really depend on how many options are exercised by employees for the year because the number could fluctuate a little bit. But yes, basically the accounting rule on January 1 eliminated the buyback in the diluted share calculation with the tax benefit and instead moved that - and then moved that tax benefit straight to equity to the tax provision. So we got about $1.6 million increase in shares and that we took the tax benefit to reduce the rate to 28%. It's pretty much a wash.
Chris Donat: Yes. Okay, got it. Thanks very much.
Operator: Thank you. Our next question comes from Brian Essex from Morgan Stanley. Your line is open.
Brian Essex: Good afternoon, and thank you for taking the question. I was wondering if maybe you could comment on where you saw the organic growth come from, if you can zero-in on that a little bit. Was it primarily asset growth or was it new deal wins? And then on the new deal wins side, if you could maybe highlight where those deal wins are coming from competitive displacements versus new fund starts or any other notable sources?
Patrick Pedonti: Yes, so in the SS&C GlobeOp business, the organic growth is, I would say, primarily new deal wins with some lift for current clients. And in the new deal wins, it's definitely a mix of new launches as well as competitive takeaways but the bigger value deals, the bigger revenue deals tend to be either competitive business takeaways or particularly in our private equity and close-end fund type business. They may be outsourcing functions that were previously done internally.
Brian Essex: Got it. And I'm sorry if I missed it, but where did you guys shake out on AUA for the quarter?
Patrick Pedonti: AUA at the end of the quarter was $1.35 trillion.
Brian Essex: Got it. And then maybe if I can just sneak one more in. On those deals that you're seeing, how is pricing trended versus maybe last year? Is the pricing environment getting more favorable for you, or are you still maintaining some kind of a discipline on pricing environment that you're managing in deals?
Patrick Pedonti: I'd say it's pretty consistent. We've got - a lot of times we've got a broader suite of products and services that we can bring to prospects, so those broader products and services sometimes yield a little more price. But in general, the environment is pretty consistent with last year.
Brian Essex: Are attach rates similar to what they had been in the past, or are those increasing in the deals?
Patrick Pedonti: I think they are pretty similar.
Brian Essex: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Dan Perlin of RBC Capital Markets. Your line is open.
Dan Perlin: Thanks. Good evening guys. On the three acquisitions, you mentioned Citi, Wells and Conifer and I think you gave a packaged margin around 23.3% [ph] if I was right. Can you just help us think through what the cadence of improvement potentially could be as we think about the next three quarters around those assets in particular?
Bill Stone: Yes, so I think our target on Citi was to get pretty close to our corporate margins, if not at our corporate margins by the end of the year, and I think we are progressing towards that. On Wells and Conifer, we are obviously little further behind. We haven't had as much time, but we are targeting to get them up in the 40, low 40s by mid next year.
Dan Perlin: Okay. So both mid-40s by next year and Citi is well on its way I thought to getting to that point it sounded like. So this is more backend loaded clearly for those latter two in terms of the ramp, or should we really be thinking about it more of a - much more as an '18 time period?
Bill Stone: Look, I think you'll see us consistently improve quarter-over-quarter. As Patrick said earlier, we've only had them for three, four months. So we've made a difference to where they were standalone but we've got ways to go.
Dan Perlin: Okay. Can you remind us what percentage of your total revenues, again are directly tied to the markets returns. And the market has been pretty strong. Clearly your clients are doing better. But I just want to be reminded of how much influence that has over your revenue line?
Patrick Pedonti: Yes, I think, Dan, it's really long/short equity is about 35% of our assets. Obviously they are not all long, so they are 70% long, 30% short. So you get basically 14% of our hedge fund assets are tied to the markets S&P 500, and that hedge fund revenue is probably 45% on corporate revenues.
Dan Perlin: Okay. That's helpful.
Patrick Pedonti: Yes.
Dan Perlin: Yes, okay. That's great. I had a question and then you mentioned kind of the real accounting space a couple of times in the call. I'm wondering in order to get to a scale level, do you need to do additional acquisitions there or do you think the assets you have currently are enough to build the product portfolio around?
Bill Stone: I think if you're at our Analyst Day, I think Bhagesh will be there and he's a good guy. He was at both JP Morgan and State Street prior. He built a pretty big business in that I think he would say we've got a lot of assets. I don't think that would mean that we won't go get more but I think he is pretty excited about the portfolio he has inheriting.
Dan Perlin: Okay. I figured you had to hold something back for the Analyst Day. One just a housekeeping. Patrick, do you have the term and maintenance revenue in the quarter specifically?
Patrick Pedonti: The adjusted in the quarter?
Dan Perlin: Yes, for term and maintenance only. We can also follow-up. It's not a big deal. I just trying to fill up the model.
Patrick Pedonti: Yes, so maintenance and term license revenue in total for adjusted on the quarter was $110.8 million.
Dan Perlin: Okay, thank you guys. See you next week.
Patrick Pedonti: All right.
Operator: Thank you. Our next question comes from Rayna Kumar of Evercore. Your line is open.
Rayna Kumar: Good evening. I see that you had great growth in the alternatives business, 8% organic. So just wondering if you can just talk a little bit about the softness you may have seen in different parts of your business that got to 3% in the quarter. And then if you can just tell us your expectations for second quarter and for 2017 organic growth, please?
Norm Boulanger: I can take the first part and then Patrick might take the second half. The other business that did really well this quarter was our Primatics business. That's a term license model but it had a nice quarter. Some of the softness was in our institutional side. Some of that was with these - some of the deals shifted to term and some of it is we had some nice license wins last year, in particular our Precision LM in Q1. So Q1 is always a generally little bit softer from a license perspective. And then we had a little bit of a shift in the makeup of the software this year, software sales versus term licensing.
Patrick Pedonti: This is Patrick. Based on our guidance for Q2, we expect organic growth to be somewhere between 3.8% and 5.4% for Q2 based on the revenue rates we provided. And for the full-year based on that rates, we expect organic growth to be between 3.7% and 5% on the high end.
Rayna Kumar: Great, that's extremely helpful. Can you just discuss your first quarter client retention rate?
Patrick Pedonti: Yes, we saw an improvement in - how we calculate the client retention rate is on an LTM basis for the last 12 months. And as of December for the full-year '16, we ran total retention of 95.4% in all the revenues. And as of March '17 for the last 12 months, we saw an improvement for the last 12 months ran at 96.3% retention.
Rayna Kumar: Got it. And just one final one for me. You notched up your CapEx guidance a bit. Could you just discuss the drivers to that?
Patrick Pedonti: I'm sorry, I missed the question.
Rayna Kumar: You notched up your CapEx guidance for 2017. Could you just discuss the increase?
Patrick Pedonti: We did. We've got higher than we originally expected capital expenditures in the facility side. As you know, we are consolidating facilities in New York City and then we are also getting new facilities to replace the Citi and the Wells facilities in Ireland, Singapore Hong Kong, Ohio and Minnesota. So we've got higher leasehold improvement expenses than we initially expected.
Rayna Kumar: Thank you.
Justine Stone: And everyone, if you guys could try to keep your question to one question and one follow-up just to keep things moving along and if you have additional questions just get back in the queue. We'd appreciate it. Thank you.
Operator: Thank you. Our next question comes from Sterling Auty of JPMorgan. Your line is open.
Jackson Ader: Thank you. This is Jackson Ader on for Sterling tonight. If I can just follow-up quickly on the retention rate, so of the churn, Patrick, what would you say is due to fund closure versus competitive displacement? And it doesn't have to be exact number, just if churn is 5%, is 2% fund closure or ballpark.
Patrick Pedonti: Yes, that would be - I would say if we're losing 4% or 5% that probably - at least probably 60% of those are fund closures or similar and the rest are either competitive losses or possibly we're on the wrong side of an acquisition and they switch systems to be acquired company.
Jackson Ader: Got you. And for my follow-up, how fast is the Real Assets Group that has the new head, how fast is that growing now and what is the goal? What's a realistic goal for how quickly that can grow organically?
Bill Stone: Yes, it's a small business now, probably represents $20 million in revenue and we'd be disappointed if we are not at $30 million, $35 million run rate at the end of '17 and then probably $50 million to $60 million in '18.
Jackson Ader: Okay, great. Thank you.
Operator: Thank you. Our next question comes from Chris Shutler of William Blair. Your line is open.
Andrew Nicholas: Hi, this is actually Andrew filling in for Chris, Andrew Nicholas. First question, I am looking at both first quarter results and midpoint of guidance for both adjusted revenue and adjusted net income. And it looks like there is a little bit of a ramp in the back half of the year that's implied in those numbers. On the net income side, I'm guessing that margin expansion in the acquired companies is one driver. But is there anything else to call out in terms of what you're expecting in acceleration in the back half of the year?
Bill Stone: Well, I think really the biggest drivers in the back half of the year is that we have hired Bhagesh. We also have a couple of new acquisitions in Conifer and Wells, and that's going to give us new opportunities in various areas, in particular we are also ramping up Citi in Asia and we think that's going to help us in our private equity business. It has been pretty strong as well, and I think Norm mentioned of our Primatics business, the stuff that is seesaw which is your current estimate of credit loss, we have a very strong product in that area and we are getting a lot of attention from the banks.
Andrew Nicholas: Great. Thank you. That's helpful. And then for my follow-up, I think you guys called out a win of $10 billion fund that was previously a Geneva client or is a Geneva client that is enhancing your relationship to one that includes outsourcing. Just curious how that effort is going? I know it was a key part of some of the revenue synergies you expected from the Advent acquisition. Just wondering if we could get an update there? Thank you.
Norm Boulanger: I'll take that, Bill. I think it's going very well. I think the teams are really working together. I think that particular deal was a very satisfied Geneva customer. And by the way, they are going to continue to use Geneva. So one of the advantages of that sale was that this organization can continue to use Geneva for shadow account and while we've come to fund administrator but the teams are working really well together and I think the market - there has been a number of cross-sells over the course of this quarter particularly in our reconciliation tool in the hedge fund space. So we expect that to continue. It took a little bit of work to get people in sync, particularly when you're selling outsourcing to a license customer, people will tend to be a little shy on that. But I expect that to be we have a good year from a cross sales perspective and pipeline for the Advent products in particular looked really good and we're very optimistic about prospects for the year.
Andrew Nicholas: Thank you.
Operator: Thank you. Our next question comes from Ashish Sabadra of Deutsche Bank. Your line is open.
Ashish Sabadra: Hi. Just a quick follow-up on the organic growth question. So the alternatives revenue growth that is expected to mark rate from 8% to 6% but the organic growth for the full company is expected to improve in the second quarter. Just wanted to make sure that I understand the puts and takes there. Is that because of the improvement in I&IM business? If you can just provide some more color on that front.
Patrick Pedonti: I think in part it's going to be the improvement in the I&IM business but we are also expecting the fund services business continue to do well.
Bill Stone: Because that's 6% and then if I&IM rebound which we expect, we also think Primatics is going to have a good second quarter. So there is a number of moving parts but many of them are moving in the right direction.
Ashish Sabadra: That's helpful. That's it for me. Thanks.
Operator: Thank you. Our next question comes from Patrick O'Shaughnessy of Raymond James. I'm sorry, he left the queue. One moment. [Operator Instructions]. Okay, we have a question from Patrick. Your line is open.
Patrick O'Shaughnessy: Sorry, not sure what happened there. But, Bill, a couple of weeks ago, there was story saying that the private equity minority owners of a large private competitor of yours on a fund administration side are maybe looking to exit their stake. Do you think that implies anything about the attractiveness of the space to private equity right now, or is that maybe just their investment time horizon ran out and they are looking to exit for that reason?
Bill Stone: Yes, I think it's more of the latter, Patrick. I think that minority stakes when you don't have as much influences as you would like I think become things that you want to liquefy and I think that would be CAs [ph] in some points.
Patrick O'Shaughnessy: Got you. And then my follow-up, and I think I already know the answer to this. A minority stake in the competitor would not be interesting to you and perhaps not even feasible. Is that correct?
Bill Stone: Yes, it would be difficult, right. And I think that that would be a bad way to put leverage on it but...
Patrick O'Shaughnessy: Okay, thank you.
Bill Stone: Thanks a lot. Thanks everybody for being on our call and we look forward to seeing you next quarter. Thanks.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.